Operator: Greetings. And welcome to Tri Pointe Homes' Second Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Lee, General Counsel, Tri Pointe Homes. Thank you. You may begin.
David Lee: Good morning. And welcome to Tri Pointe Homes' earnings conference call. Earlier this morning, the Company released its financial results for the second quarter of 2022. Documents detailing these results, including a slide deck are available at www.tripointehomes.com through the Investors link and under the Events and Presentations tab. Before the call begins, I would like to remind everyone that certain statements made on this call, which are not historical facts, including statements concerning future financial and operating performance are forward-looking statements that involve risks and uncertainties. Discussion of risks and uncertainties and other factors that could cause actual results to differ materially are detailed in the Company's SEC filings. Except as required by law, the Company undertakes no duty to update these forward-looking statements. Additionally, reconciliations of non-GAAP financial measures discussed on this call to the most comparable GAAP measures can be accessed through TRI Pointe's website and in its SEC filings. Hosting the call today are Doug Bauer, the Company's Chief Executive Officer, Glenn Keeler, the Company's Chief Financial Officer, Tom Mitchell, the company's Chief Operating Officer and President; and Linda Mamet, the Company's Chief Marketing Officer. With that I will now turn the call over to Doug.
Doug Bauer: Good morning. And thank you for joining us today as we go over our results for the second quarter of 2022, provide some color on current market conditions and update you on our company's strategy and market positioning. Tri Pointe Homes delivered another quarter of strong profitability generate earnings of $1.33 per diluted share, representing a 33% increase over the second quarter of 2021. We met or exceeded our previously stated guidance for all relevant operational metrics for the quarter, including new home deliveries of 1,485, average sales price is $677,000. Homebuilding gross margin of 27.2%, and SG&A of 9.5%. I want to thank our teams for these outstanding results, as they once again did a fantastic job of managing backlog, overcoming labor and supply issues and delivering homes in a timely manner. We also ended the second quarter with a record backlog of nearly $3 billion, which puts us in an excellent position to continue to deliver strong top and bottom line results as we head into the back half of the year. We generated 1,356 net new orders during the quarter on a sales pace at 3.7 orders per community per month. This pace is consistent with our company's pre pandemic order performance for a second quarter. However, we experienced a noticeable decline in order activity as the quarter progressed with April's order pays coming in at 4.7, May at 3.6 and June at 2.8. While we typically see a seasonal slowdown in demand as we approach the summer months, it's clear the combination of higher rates and lower consumer confidence, two the most important drivers in our industry, as result in any slower buying pace in most markets. With the uncertainty around the economy, we believe it may take some time for consumers and the market to find their footing again. Fortunately, Tri Pointe is led by seasoned homebuilding professionals both at the local and national level, who has successfully navigated prior housing cycles in our skill that operating through such times. We maintain a strong balance sheet throughout this cycle, which will allow us to make smart, rational decisions from a position of financial strength going forward. And while there is uncertainty surrounding today's new home market, we are confident that our company and our teams are well prepared for what comes next. Despite changing market conditions, our operational playbook remains similar to the one we outlined during our Investor Day in May. First, we're taking steps to ensure that the buyers we have in backlog feel confident about their purchases and close on their homes. We're working closely with buyers at every stage of the home buying process, particularly as it relates to their ability to secure attainable financing. We're leveraging our financial services arm Tri Pointe Connect to provide incentives such as forward rate commitments, rate buy-downs, and rate locks to offset some of the impact of higher mortgage rates. While these steps should help us maintain a steady pace of activity at each of our communities, we are prepared to pull additional incentive levers to maintain that pace, if necessary. We believe that our outstanding lock position in prime locations combined with our innovative premium homes gives us a distinctive selling advantage in a challenging market. And as we highlighted a recent Investor Day, we are in a fortunate land position with a good portion of our lots at a favorable cost basis relative to today's lots prices. This will give us flexibility with pricing homes as we open new communities over the next few years. In addition, we have adjusted our hurdle rates for new land deals to reflect the uncertainty we are seeing in the market. For land deals in the pipeline that have been approved, but not yet closed on, we're stressed testing project assumptions, and reevaluating where appropriate. By focusing on converting our existing backlog, maintaining a steady flow of new orders, opening new communities and reducing future land span, we believe Tri Pointe is in an excellent position to generate positive cash flow from operations while adapting to the changing landscape. In addition, we enter this period of uncertainty with a record backlog and healthy operating margins, given us great confidence in our ability to generate profits and increase book value for the foreseeable future. With that, I'd like to turn the call over to Glenn, who will provide more detail on our results this quarter and give an update on our guidance. Glenn?
Glenn Keeler: Thanks Doug and good morning. I'm going to highlight some of our results and key financial metrics for the second quarter, and then finish my remarks with our expectations and outlook for the third quarter of 2022. At times, I will be referring to certain information from our slide deck which is posted on our website. Slide 6 of the earnings call deck provide some of the financial and operational highlights from our second quarter. We sold 1,356 homes during the quarter at a sales pace of 3.7 orders per community per month. Order activity in the West region was healthy with a sales pace of 4.3 orders per community per month. While all markets felt some impact due to the softening demand trends. Las Vegas, Phoenix and the Southern California markets of San Diego, Inland Empire and Los Angeles showed the most resilience. The central region reported a sales pace of 2.1 orders per community per month. While the lower sales pace in that region was largely tied to slowing demand during the quarter. Lot development delays also played a role particularly in Austin and Dallas. The East region had a sales pace of 4.1 orders per community per month driven by the Charlotte market, where our new community openings during the quarter were met with strong demand. As demand flow during the quarter we also saw a rise in our cancellation rate to 15.6% of gross orders. Total cancellations were 6.3% of our opening backlog for the quarter. Because the majority of these cancellations are financing related. We are proactively working with our buyers to find the right financing options for them. On the financial side, we reported outstanding results on all key metrics this quarter that either met or exceeded our stated guidance. We delivered 1,485 homes at an average selling price of $677,000 which resulted in home sales revenue of approximately $1 billion. Our homebuilding gross margin percentage for the quarter was 27.2%, a 260 basis point improvement year-over-year. The strength of our margins is the result of the strong demand and pricing power we experienced last year and early in 2022. Finally SG&A expense as a percentage of home sales revenue came in at 9.5% which was a 10 basis point improvement year-over-year. Turning to communities, we opened 19 new communities during the quarter and closed out of 12 to end the quarter with 123 active selling communities. With a strong new community pipeline, as highlighted during our recent Investor Day, and we anticipate generating double digit community count growth over the next few years. Looking at the balance sheet, at quarter end, we had approximately $3.5 billion in real estate inventory. Our total outstanding debt was $1.3 billion resulting in a debt-to-capital ratio of 35% and a net debt to net capital ratio of 30.1%. We ended the quarter with approximately $938 million of liquidity consisting of $270 million of cash on hand, and $668 million available under our unsecured revolving credit facility. During the quarter, we executed a modification of our credit agreement that extended the maturity date of both the revolving credit facility and our term loan facility to June of 2027. We also added an additional $100 million of borrowing capacity to our revolving credit facility from a maximum of $650 million to $750 million. Now, I'd like to summarize our outlook for the third quarter. For the third quarter, we anticipate delivering between 1,300 and 1,500 homes at an average sales price between $700,000 and $715,000. We expect homebuilding gross margin percentage to be in the range of 26% to 27% for the third quarter, and anticipate SG&A expense as a percentage of home sales revenue to be in the range of 10% to 11%. Lastly, we estimate our effective tax rate for the third quarter to be in the range of 25% to 26%. Due to the quickly changing market conditions and the significant uncertainty related to the broader economy, we are no longer giving full year guidance at this time. We will continue to update you on our progress for the year at our next quarterly call. With that I will now turn the call back over to Doug for some closing remarks.
Doug Bauer: Well, thanks, Glenn. I'm very pleased with how our company executed in the second quarter and how we are positioned going forward. While our industry has entered a period of uncertainty, Tri Pointe does so with the advantage of a solid land position, a record backlog of nearly $3 billion and attractive margin profile and a strong balance sheet and liquidity. Higher mortgage rates and lower consumer confidence may put a damper on our sales efforts in the short term. But we believe the long-term outlook for our industry remains favorable given the undersupplied nature of our markets, disciplined mortgage underwriting standards, and the favorable demographics that support the need for new housing. We remain confident at Tri Pointe along with the other public home builders have an inherent cost advantage over the smaller industry players and should emerge from this slowdown with increased market share. As a result, we remain very optimistic about the long-term outlook for our company. Finally, I want to thank all our team members for their contributions, delivering another fantastic quarter. Too often these calls, too often on these calls, we focus on what comes next. Rather than appreciating what we've accomplished. The profitability we achieved in the second quarter, and the backlog we built is no small feat. And I'm really proud of where we stand today. Thank you all for your hard work and unwavering commitment to Tri Pointe. That concludes our prepared remarks. And now we'd like to open the call for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Truman Patterson with Wolfe Research.
Truman Patterson: Hey, good morning, guys. Thanks for taking my questions. First, on your cancellation rate, it moved up about nine points year-over-year. I'm just trying to understand the cadence of that? Can rate as we move through the quarter and any chance can you all give any color on the vintage of those cancellations? Were these from buyers that have been in the backlog for six to nine months with a large amount of equity embedded or buyers that were signing contracts more recently.
Linda Mamet : Hi, Truman. This is Linda. We did see an increase in the cancellation rates as we proceeded through the quarter. And in terms of the timing of those cancellations, it was what 48% towards sales that have occurred during that quarter and 52% on sales that had been prior to the second quarter.
Truman Patterson: Okay. That's super helpful and clearly we've heard of incentives starting to move higher either through price reduction, rate locks, rate buy-downs, option incentives, et cetera. But just trying to understand one incentives you all are deploying to get sales, protect the backlog, and I'm hoping you all might be able to help quantify that impact your third or maybe even fourth quarter gross margin because I know you all occasionally will have some regional shifts and everything in there.
Linda Mamet : Yes, to begin with, we have found that this financing incentives has been helpful both for homebuyers and backlog as well as new sales. We are starting to see incentives return to a more normalized level of what we would have had pre-pandemic, something around the 4% range for financing promotions, but they're not always being used by every homebuyer.
Glenn Keeler: And for the margins, Truman, this is Glenn. Yes, you're not going to see much of an impact at all for third quarter guidance. Obviously, you saw our guidance there and it's pretty much in line with where we're running. It might have some slight impact to the fourth quarter, but overall, I don't think it's going to have a material impact.
Truman Patterson: Okay, and on those financial incentives, are they primarily closing costs, rate locks, buy-downs, et cetera?
Glenn Keeler: Yes.
Operator: Our next question comes from the line of Alan Ratner with Zelman & Associates.
Alan Ratner: Hey, guys, good morning. Thanks for taking the questions here. Doug, I think you kind of talked through a little bit your strategy on the pricing side, obviously, you've got a big backlog of homes that you want to protect, and make sure those buyers get to the finish line. And cutting price or significantly increasing incentives in existing communities probably creates more risk there. On the other hand, you are opening up a lot of new communities with attractive vintage land bases. So it sounds like maybe you're kind of going back and maybe coming at -- coming out with a lower price, perhaps than you would have thought a few months ago. Correct me, if I'm wrong on that first off, but second off, I'm just curious, what are you seeing on the elasticity of demand when you're coming forward with either increased incentives or a new community opening at a perhaps more attractive price? Are you seeing markets where it is resulting in an uptick in traffic and conversion? Or are there markets where perhaps you've on the margin kind of done things and hasn't really moved the needle? Because maybe we're in the summer, and it's a seasonally slower time of year.
Doug Bauer : Yes, I'll take a couple of those. Just the last question, it's pretty spotty across the markets. I mean, we saw kind of the middle of June, moderation in demand, and then increase cancellation rates, lower absorption and we attack the backlog and forward looking sales as Linda talked about. But right now, we've kind of gone from order takers to financial therapists, as homebuilders. And it's just kind of back to normal. I mean, you're really blocking and tackling. But right now, for sure that I think the buyer is a little bit in shock and odd and negative news definitely has changed the psychology of the buyer. And so we all know that, and that's not anything new. We knew that was coming, and it's here, and then it'll settle out over the next maybe several quarters. As far as new communities, yes, definitely, as we talked about, at our Investor Day in May, we've got fantastic land bases. So we put a pause on land, we don't need to be buying land. And frankly, every builder that has a good land book is their inventory, land inventory is obviously going elongated, absorption is going to slow down. But we are definitely going into the market with new communities at a more aggressive price positioning relative to where we underwrote it, and we still have very healthy margins, as we talked about at our May Investor Day.
Tom Mitchell : Hey, Alan, this is Tom. The only thing I would add on to that is that we still do see strong demand. I mean, buyers are interested in our products and our new offerings. I think their concern is with the relative stability of the real estate market and they are just concern with price discovery and wanting to make sure they're making a smart purchase decision at the right time. So it seems like timing is more on the forefront of their minds.
Alan Ratner: Yes, that makes a lot of sense. And obviously, it kind of creates a tough decision for you guys, whether how aggressive you do get, because it sounds like, there is that shock period there where perhaps just cutting price or discounting might not even move the needle a whole lot in the near term.
Doug Bauer : It’s down the head. You need to be patient. And many of us will pull back on our start and let this shock therapy kind of get through the market. And there's still plenty of demand. I mean, you still look at the demand profile of our +buyers across all our communities. And still there, it's just elongated. And they're just going to count in that wait and see mode.
Alan Ratner: Makes sense. You mentioned the land book. And I'll give you a kudos for at least I think last quarter, you even signaled perhaps slowing things a little bit and your land book gives you that flexibility. When you look at your option lots, presumably, those are lots that are somewhere on the development process, and there's going to be a takedown schedule stretched out over the next several years. What percentage of those 18,000 or so option lots are, when you look at them are kind of due for takedown over the next 12-month? And how are you thinking about that? Have you started looking for extensions there or renegotiating at all? And is it possible we start to see walk away from some of those deals, if the market stays at these levels?
Doug Bauer : Yes, Alan, you're here right on with relative the strategy there. The first course of action is trying to match our construction and start pace with our business and absorption flow. So that is going to require some extension relative to takedowns. And we're working with the sellers to be able to do that. And we're hopeful that there's not going to be a significant walk away from options, but we are 100% committed to buying land that correctly underwrite and buying in at the right price. So we're going to have to stay tuned on that. But so far we're not an outlier in that equation. Every builders in the same situation, land settlers are coming to the table now as they're getting educated on things. And so we're confident we're going to have success in getting those extensions.
Operator: Our next question comes from the line of Carl Reichardt with BTIG.
Carl Reichardt: Thanks. Good morning, everybody. Just back Alan's question on traffic. So what did on a gross orders bases? What did traffic conversion rates do during the quarter, if traffic dropped to ton and that was a driver to lower gross orders? Or is your conversion rates still normal or even better?
Linda Mamet : Carl, this is Linda. As Tom said we are – hello, it is taking longer for buyers to go through the home shopping process. So that is impacting conversion rates, as well as lower traffic. We did increase our advertising. And we have seen that that is driving higher traffic levels to our website. And month to date in July, we're seeing higher registered traffic rates than what we were seeing at the end of June.
Carl Reichardt: Okay, that's perfect. Thank you for that one. I appreciate that. Okay. And then just and you talked about differences in geographic performance? But in terms of relative price points, is there -- are you seeing much difference between stuff designed straight for the first time buyer versus more move up product versus the segment of active adult that you have in terms of net order performance?
Doug Bauer : No, it seems to be fairly universal across the different product segments, Carl. However, we are seeing obviously on the entry level buyer, the qualification and financing being more of an issue.
Linda Mamet : So just to give you the breakdown of our orders by order pace by segments, in the second quarter entry level was at 4.5 per month pace, move up at 3.4. Luxury at 2.8 and active adult at 3.8.
Doug Bauer : So again, it’s very consistent with past performance.
Operator: Our next question comes from the line of Jay McCanless with Wedbush.
Jay McCanless: Hey, good morning. Thanks for taking my questions. I guess the first one, the magnitude of the increase in the cancellation rate, I guess what are you seeing so far in July on that front? And you talked about the pain being equally distributed across your different buyer groups is that continued in July.
Linda Mamet : The cancellation rate that we have seen so far month-to-date in July is similar to what we experienced in June. And again, similar across buyer segments and geographies.
Jay McCanless: And then I know you pulled the full year guidance, but maybe Glenn, could you talk about what you're expecting for community count in the third quarter? And is there still an expectation that we'll see year-over-year growth into ‘23?
Glenn Keeler: Yes, definitely, you'll see year-over-year growth into ‘23. Some of the timing may shift out in the fourth quarter into the first quarter, depending on how demand looks in the fourth quarter, and we may make the decision to open in the spring selling season versus a fourth quarter depending on what demand looks like there. So there may be some timing shift. But overall, total community count that we had planned to open is opening. You may just see one quarter shift on timing, so still looking good there.
Jay McCanless: Okay. And then the deliveries, closings were better than we expected this quarter, I guess. Any update on cycle time and maybe issues with vertical construction versus horizontal? Are you seeing any improvements on either one of those fronts?
Doug Bauer : Not any significant improvements, we are beginning to see more trade availability on the front end of the process. We've still got a lot of tension on the back end with the finished trades. Our cycle time is remaining fairly consistent with where we've had been performing.
Operator: Our next question comes from the line of Stephen Kim with Evercore ISI.
Stephen Kim: Great, thanks a lot guys. Wanted to see if I could get a couple of housekeeping items first. If you could give us a sense for what your finished homes and construction in progress number was more, I guess you call it a homes completed and under construction. What that was in dollars and then in units I was curious if you could give us what your starts were in the quarter and your ending quarter under construction finished back counts were.
Doug Bauer : So we had -- we are looking for 42 completed unsold units at the end of the quarter. If that was you were asking. And then we had 1,402 unsold in process units. So spec starts at the end of June. Was those were two main questions?
Stephen Kim: Those are two and then how many actual starts you did in the quarter, we could probably back into it. But if you have that handy, and then also the dollar amount of your homes completed and under construction, that was 1.49 billion lots for example.
Linda Mamet : Yes, Steven, this is Linda. We made 2,147 starts in the second quarter, 64% of those was fixed start. And just to give you a perspective on orders, we sold 59% spec orders in the quarter.
Glenn Keeler: And I have to follow up with you on the dollar amount, Steven.
Stephen Kim: All right. Yes. Appreciate that. So switching gears to your cancellations, you said that your can related to sales in the same quarter and that your can rate did increase in July. And it seems that your -- while it was up, overall sequentially, it's kind of like I had a kind of a normal rate. So I guess I just was curious as to what you -- how we should be thinking about cancellations going forward, assuming we don't see another big move up in the mortgage rate. I would think that most of those cans that occurred from recently sold homes that probably would dissipate, right, because that was due to the shock of this big move that we saw in rates in kind of June. And whether you agree with me that the can rate that you're at right now is kind of like a normal kind of condition. So I'm curious if you're, if you sort of opine on that.
Linda Mamet : I mean certainly we did see cancellation rates increased. We were at 21% cancellation rate in June. And as you said, Steven, consumers were certainly impacted by seeing rate peak in the middle of June. But we are also now seeing some concern from consumers about the general economy. So I think going forward, we would expect to see a more normalized cancellation rate, and somewhere around 20% of gross orders. And for us, we include all types of cancellations including home site transfers within a number like that.
Doug Bauer : Yes, and I think, Steven, is that the remaining part of this year is going to be very choppy. Hence, the reason we did give full year guidance, I mean, we have no idea where the Fed is going to land 100%, neither do you, none of us do. But we do know that this all started just mid-June, which we saw coming. And there's an elongated sales cycle on the psychology of the consumer is dented. And to Linda's point, first, you get hit with interest rates therapy, and then you, the concerns are the continuous negative headlines about recession, potential jobs and so forth. So that's going to cause the consumer to pause, but we have all the right tools and mechanisms in place to continue to draw them across the finish line, it's just going to take longer.
Stephen Kim: Great, I appreciate that. I should have clarified, but the can, right, I was referring to can rate. But that's fine. Last one for me is regarding rental homes, single family rentals. I know that you all don't have a specific, separate carve out to target that kind of business like your peers do. But I was curious, it seems like the stigma against single family rentals in communities has rapid significantly and is rapidly dissipating. And so I'm curious if there's any consideration on your part to relax restrictions on sales to investor buyers who would want their homes out? My understanding is that in the past, you like most builders have sort of tried to really keep those buyers out of your communities. And I'm curious to whether there's any thought to changing that perspective in that approach.
Doug Bauer : That we still strongly believe in having an end user to be our buyer, however, as single family rental is an asset class, but we do think is more accepted throughout the industry and the community. There's an opportunity for us through land sales to carve out more significant pieces of land to allocate to that asset class and work with single family rental or build for rent community operators.
Operator: Our next question comes from the line of Mike Dahl with RBC Capital Markets.
Mike Dahl: Good morning, thanks for taking my questions. Maybe first one, just understand the lack of visibility and quickly changing environment here when we think about your comments on some of the shifts that happened as June progressed, and the cancellation comments you've made. June ended up at 2.8 pace for the month. And presumably it was kind of tracking a little lower by the end. How should we be thinking about what you're experiencing in July today? And I know, the second part of the question, I know, it's really difficult to forecast, given the market conditions. But what, given the shifts you've seen, what is a -- what do you think is a reasonable pace to be able to target looking out the next couple of quarters as you balance kind of what you're willing to do on incentives versus how you're managing starts and things like and community openings, things like that.
Glenn Keeler: Hey, Mike. It’s Glenn. I’ll take the first part of that. So far in July, it’s early, but absorption has been closer to around two for community per month. And so it has ticked down a little bit compared to June. Now you've got normal seasonality built into that, and we're just kind of starting to target incentives in certain communities. So we'll see how the consumer responds to that. Or like Linda said, there's a lot of uncertainty out there. So it's really hard to kind of give a forecast right now what we can expect for absorption back half of the year.
Doug Bauer : We would like to expect 2.5 to 3 during the next two quarters, Mike, but it's going to be very choppy.
Mike Dahl: Got it.
Doug Bauer : Yes and the cost of getting there is probably changing. So that I guess would dictate where you wind up there as you balance that.
Glenn Keeler: Okay. And then, I guess a clarification on the incentives comment. I think, Linda, your comments, were incentives on financing, returning to the more normal 4% range. Did I hear that correctly? That's just financing. And a, can you give us where that has been running? And then could we broaden that out to a point of view on total incentives? Where that range you think is returning to versus where it's been?
Linda Mamet : Yes, Mike, the focusing would be total incentives, but we're definitely seeing customers wanting to use those incentives towards financing. So we would provide those dollars as closing costs. And then those are typically being used towards interest rate, buy-down, rate locked, extended long-term locks is how they're typically wanting to use that level of incentives.
Glenn Keeler: And incentives we’ve been running between 1% and 1.5% recently, Mike, just as the markets been so strong, so just so you have some context.
Doug Bauer : Yes that really is current and forward looking. Because as Glenn said, our incentives for 2Q was running at about 1.3%. And that compared to a year ago of about 2.5%.
Glenn Keeler: That's on deliveries in the third and during second quarter.
Doug Bauer : And the 4% is more on the, what you're seeing on orders today, right?
Glenn Keeler: Correct.
Linda Mamet : Yes. We were using financing promotions, but as I mentioned, that's not necessarily every sale at that level.
Operator: Our next question comes from the line of Deepa Raghavan with Wells Fargo.
Deepa Raghavan: Good morning, everyone. Thanks for taking my question. Doug, I know you addressed this a little bit already. But I, like I was a little surprised at your fiscal year as well your full year guide withdrawal. But it looks like you have full visibility into the rest of 2022, two points with a backlog. It's in there, you know your construction times this table two and your cost should have been locked in as well just given your backlogs. I understand the buyer rate lock could be the wild card. But curious what are the specific key metrics you're most concerned about that led to this Q4 guide withdrawal? I mean most of the comments you gave so far were on order space, outlook, what the Fed would do but then you already have backlogs worth of two quarters. And it looked like you could have provided Q4 guide, so just curious if you're able to talk through that.
Glenn Keeler: Hey, Deepa. It’s Glenn. I'll take that one. So we actually don't have a backlog specifically for the fourth quarter, some of the backlog that you see is actually home that will be completed in ‘23 and delivered in ‘23. So we need to sell roughly 600 to 700 homes to hit the midpoint of our previous full year guidance. And so when you take that into consideration, and kind of the quickly changing market conditions, we thought it was prudent to pull the full year guidance like we did. So that's kind of how that works, Deepa.
Doug Bauer : It's a combination of order uncertainty as well as some construction cycle time uncertainty out there. We just think it's prudent to not guide to that full year right now.
Deepa Raghavan: Okay, got it. I know you mentioned, July is trending maybe slight, could be trending slightly better because you increased your advertising spend, the traffic's at least increased. But any other puts and takes or any other levers that you're pulling at this point in time that's pointing to a better July absorption rate than June's. What are some of the actions you're taking? That you hadn't taken in the last quarter that could help think of how Q3 is progressing? Thanks.
Doug Bauer : Hey, Deepa. It’s Doug. The market started moderating mid-June. So that was just a little over a month ago. So it's very fluid right now. I wouldn't take any puts or takes out of anything in the short term. the Fed is on a mission to put out the inflation fire that's going to have an impact on interest rates, potentially the economy you all, we all know that so there's really again a very, the consumer is taking longer still held, it is still good demand showing up at our communities, but they're just taking longer. And then that sales process will continue that way, because of the uncertainty in the economy. Hence, the reason why we didn't provide the rest of the year’s guidance. So I don't see anything to take away in July versus June versus August. It's going to be choppy, very normal. We've been there before, this management team has been doing this for over 30 years. So this is a very normal reaction that the consumer is having. But there's nothing in the immediate term that I can tell you that is a great put or take.
Operator: Our next question comes from the line of Alex Rygiel with B Riley.
Alex Rygiel: Thank you. And good morning, gentlemen. Few questions here. The land span in the quarter, what was your land span in the quarter and thoughts on what it could look like in 2022 versus 2021?
Glenn Keeler: I actually don't have that in front of me, I could follow up with you, Alex. But overall, our land span in ‘22 versus ‘21 is pretty consistent.
Alex Rygiel: And then start from the quarter were 2,100. While orders in a quarter were 1,356. Historically, what is the ratio of starts to orders you'd like to target?
Doug Bauer : That's a good question, Alex. I don't know that we have looked at it as a ratio to that degree. But I'd say what we experienced in this last quarter is very consistent. And we look more at our starts related to our pace. So you're going to see naturally builders like ourselves pulling back on starts because your pace is slowing down.
Glenn Keeler: And historically, Alex, what we've targeted is to starting homes to have, three to five specs per community. And so that's how you kind of overall plan your start.
Operator: Our next question comes from the line of Alex Barron with Housing Research Center.
Alex Barron: Yes, thank you. Yes, I wanted to follow up on that to see if you guys could talk about your thoughts and approach is in a new start, especially specs, and also to share buybacks given what's going on?
Tom Mitchell : Yes, Alex, this is Tom, relative to the start philosophy. As Glenn said, we want to match our construction pays to our absorption pays, that's the core of the business. Earlier, I think he alluded to having 1,400 unsold units in process. So obviously, we want to make sure that our order flow is going to be matching the completion schedule on those homes. So we are currently restricting starts, we think it was the right thing to do to try to get those two objectives in alignment. And I think you'll see most builders, hopefully pulling back on start relative to that.
Glenn Keeler: And relative to their share buyback, Alex, we saw as you saw, we bought more shares during the second quarter. I think we're going to take a more conservative outlook for the rest of the year on the share buyback with the uncertainty in the market and then watch it and see. We still have availability under our authorization. But we'll probably take a little bit more of a conservative approach for the rest of the year.
Alex Barron: Got it. And another question. I don't know if you guys have implemented any type of price reductions, but if so, are those being applied to people in backlog as well? Or how are you guys handling that?
Doug Bauer : No, we're using incentive tools, as Linda pointed out and backlog to lock people in place and keep them in the queue to close. So we haven't used any base price reductions. But I think somebody else mentioned earlier on some of our newer communities because we've got some very healthy margin profile. We are coming in at a more aggressive value proposition to combat where interest rates have come so and we're seeing that kind of still play out with most builders in the market. I mean, we all want to keep make sure our backlog is protected. And I don't think wholesale price reductions are very healthy for backlog.
Alex Barron: Yes, I tend to agree with you. Okay. Great. Thank you.
Operator: There are no further questions in the queue. I'd like to hand the call back over to Doug Bauer for closing remarks.
Doug Bauer : Well, thank you for joining us today. And we look forward to chatting with you next quarter and have a good weekend. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time. And have a wonderful day.